Operator: Greetings, and welcome to DMC’s 2013 Third Quarter Conference Call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. (Operator Instruction). As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Geoff High of Pfeiffer High Investor Relations. Thank you, sir. You may now begin.
Geoff High: Thanks, Jessie. Good afternoon, and welcome to Dynamic Materials’ third quarter conference call. Presenting on behalf of the company will be President and CEO, Kevin Longe; and Senior Vice President and Chief Financial Officer, Rick Santa. I’d like to remind everyone that matters discussed during this call may include forward-looking statements that are based on management’s estimates, projections, and assumptions as of today’s date and are subject to risks and uncertainties that are disclosed in DMC’s filings with the Securities and Exchange Commission. The company’s business is subject to certain risks that could cause actual results to differ materially from those anticipated in its forward-looking statements. DMC assumes no obligation to update forward-looking statements that become untrue because of subsequent events. A webcast replay of today’s call will be available at dynamicmaterials.com after the call. In addition, a telephone replay will be made available beginning approximately two hours after the conclusion of the call. Details for listening to today’s replay or webcast are available in today’s news release. And so with that, I will now turn the call over to Kevin.
Kevin Longe: Thanks, Geoff, and thanks to all of you who have joined us for today’s call. As usual, I will start some operational highlights from the third quarter and then Rick will provide a review of our financial performance. We will then open the call to your questions. Our third quarter was marked by continued operational progress throughout each of our businesses. DYNAenergetics, our oil field products business, delivered a 22% increase in sales versus the third quarter last year which reflects the impact of continued geographic expansion and favorable changes in product and customer mix. During September, DYNAenergetics commands production in its new shaped charge plant in Blum, Texas. This facility allows us to more effectively serve the growing U.S., Canadian and South American oil and gas markets and increases our global shaped charge production capacity by roughly 75%. In less than a year, we will further boost that capacity when we open our third production facility in Tyumen, Siberia. Construction of this facility continued on plan during the third quarter. DYNAenergetics has seen growing demand for its new DYNAselect detonator system which we referenced during our last call. DYNAselect became commercially available earlier this year and we’ve already received very favorable customer feedback and are seeing strong sales growth. This product offering is enhancing DYNAenergetics value proposition by providing customers with a competitive and comprehensive detonating system that raises the mark of both safety and reliability. And NobelClad, our explosion welding business, the sales team successfully closed on the chemical orders we referenced during our last call. Subsequent to securing those bookings, several additional chemical projects have been added to NobelClad’s hot list of core [ph] opportunities. We believe that this further evidence of increase capital spending trends with global chemical and petrochemical markets. We are also seeing new project opportunities emerged from the upstream energy market where capital investments in hot, sour, offshore oil in gas projects are increasing. Currently, booking activity remains somewhat sluggish for NobelClad which belies the fact that we are seeing relatively strong cladding activity. We believe that this connect is associated with macroeconomic uncertainty as well as a tentative approach to project level funding within our end markets. Our expectation is these conditions will improve during the coming year. And AMK Technical Services, our expanded machining capabilities, are enabling our sales group to pursue new revenue opportunities within current and new end markets. At the corporate level, we continue to strengthen the resources that support our three operating business [ph]. In addition, we are in the process of rolling at a global rebranding program which started late last year when we unified our three explosion welding businesses under the NobelClad name and continued with the recent renaming of our specialized welding business which we now referred to as AMK Technical Services. We have shortened our corporate name to DMC as Dynamic Materials does not truly reflect the increasing breadth of our product and service portfolio, our focus on building a broader family, our product and process businesses for the global infrastructure and energy markets. I will now turn the call over to Rick for a review of our third quarter financial performance. Rick?
Rick Santa: Thanks, Kevin, and good afternoon, everyone. We reported third quarter sales of $54.3 million which was up 8% over the third quarter last year, although it was below our forecast growth rate of 10% to 12%. Third quarter gross margin was 31% above [ph] our prior guidance of 27% to 29% and flat versus third quarter a year ago. Operating income was up 6% to $5.5 million versus last year’s third quarter. Net income for the quarter was $3.6 million or $0.26 per diluted share which was down 5% versus the third quarter last year. The decline in net income resulted from a comprehensive review of inventory at DYNAenergetics as part of our initiative to read [ph] inventory. Following the review with [indiscernible] one-time expense of $1.2 million to reflect an increase in reserves for slow moving, obsolete and excess inventory. This non-cash charge reduced third quarter earnings by $0.06 per diluted share. Third quarter adjusted EBITDA increased 3% to $9.2 million versus the same quarter last year. Operating cash flow after the nine-month period increased to 146% to $30.7 million versus the same period of 2012. The increase was largely driven by $19 million positive change in net working capital which offset a $1.5 million decrease in net income. Strength to guidance, we are revising our 2013 full year sales forecast with anticipated growth rate of 4% to 5% versus 2012 sales. The revisit [ph] from our prior forecast of a 6% to 8% sales increase is largely due to lower than expected bookings in NobelClad. However, given our consolidated gross margin performance so far this year and our expectations for the fourth quarter, we are elevating our full year gross margins forecast to a range of 29% to 30% versus the prior range of 27% to 29%. Our blended effective tax rate for the full year is now expected to be in the range 26% to 27% versus our guidance of 24% to 26%. The adjustment is paid [ph] by protected pretax income of the previously reported $908,000 in certain tax benefits recognized in the first quarter and the previous reported $430,000, non-recurring charge recorded in the second quarter related to a German tax settlement. Excluding the impact of these items, the blended effective tax rate for 2013 is projected to be in the range of 29% to 30%. Looking to the fourth quarter, we expect sales to be in a range of 2% above to 2% below the $52.5 million we reported in the fourth quarter of 2012. Gross margin is expected to be in a range of 29% to 30%. Our SG&A expense should be approximately $9.5 million to $9.8 million and the fourth quarter amortization expense should be approximately $1.6 million. Interest expense for the quarter is expected to be approximately $150,000. With that, we are now ready to take any questions. Jessie?
Operator: Thank you. Ladies and gentlemen, we will now be conducting our question-and-answer session. (Operation Instruction) Our first question is coming from the line of Edward Marshall with Sidoti & Company. Please proceed with your question.
Edward Marshall – Sidoti & Company: Good afternoon.
Kevin Longe: Yes, hi, Ed.
Rick Santa: Hi, Ed.
Geoff High: Hi, Ed.
Edward Marshall – Sidoti & Company: Hi, how are you? So I wanted to first touch about the facility that you put in Texas, the Blum facility, and I wanted to know kind of where we are in the production levels, manufacturing levels, how far along are we from the ramp up and the startup and how much further do we have to go?
Kevin Longe: Okay. The facility started production I want to say at the beginning of –
Rick Santa: The first week of September.
Kevin Longe: – the first week of September and by the end of September and into October, it was a one-shift operation but we were up to or close to the productivity level, in fact, we are at the productivity level of our legacy or shaped charge production facility in Germany and so we are quite excited about how fast we ramped to the level of productivity that we have in Germany and it really was a concerted effort both by our German and American team to hit that production level on its first month. And as we go forward, we will be expanding the range of products that they’re manufacturing as well as in the second shifts [indiscernible].
Edward Marshall – Sidoti & Company: So if we could frame that, I guess, into I guess potential capacity for different product lines, et cetera versus where you’re running at right now. I mean, are you running at somewhere small, say, 25% – 20%, 25% of capacity, potential capacity or are we close to – are we further up toward full capacity?
Kevin Longe: We’re at full capacity on the single shift of that facility and that has taken some of the pressure off of our German facility which has been at its limit for the last couple of years.
Edward Marshall – Sidoti & Company: So assuming you’re in full capacity and I know you’re only running one shift, do you see that as to a drag in earnings at all from a margin perspective being that you’re running, I guess, one-third of the potential capacity?
Kevin Longe: No, I think – actually, I think it can help with our margins.
Rick Santa: Yes, we avoid except [ph] that we purchase – we’re producing the shaped charges in Blum versus importing from Germany. We’re saving freight, we’re saving duty, so I think those cost savings will pass at some of the and [indiscernible] to see they’re operating one shift versus two or three shifts at that facility.
Edward Marshall – Sidoti & Company: Okay.
Rick Santa: Yes.
Edward Marshall – Sidoti & Company: [indiscernible] what you’re going to say?
Kevin Longe: I just wanted to complement our employees who are responsible for getting that facility up and running because they just did a superb job getting to the efficiency levels of our German facility with the help of our German team in a very short period of time. So this is well orchestrated on our DYNAenergetics team and I want to thank them for that.
Edward Marshall – Sidoti & Company: If I look at the gross margin as a whole and I guess I need to, and I did, back out that charge that you took for the inventory in the quarter, I mean, it was a really healthy – it looks like mix because the volume was down a little bit, right, so it looks like it’s a mix impact. What went right in the quarter from the gross margin perspective? Was any of that related to the Blum facility overall and maybe we can go through the gross margin by segments so I can detail it a little bit better?
Rick Santa: Okay. Yes, it was really – I want to say it was Blum because Blum did started up in the first week of September. I think it was DYNAenergetics in total and the favorable product mix during the third quarter. So you have to go through the margins quickly on the third quarter standing alone. Oil fields was at 34.8% in Q3 of 2013 versus 33% last year. Cladding was at 28.2% – NobelClad was at 28.2% versus 29.7% in 2012 and AMK was at 23.1% in 2013 versus 26.5% in 2012. And I think you’ve already referenced the fact that the 34.8% for oil field products reflects a negative impact of the $1.2 million inventory reserve adjustment.
Edward Marshall – Sidoti & Company: So it was even stronger?
Rick Santa: Total gross margins were 40% flat if you add [ph] that impact back and that’s reflective principally of the product, favorable product mix, customer mix with DYNAselect being part of that performance.
Edward Marshall – Sidoti & Company: It looks like you get a tail end from Blum, I mean, that’s what we’ve talked about. I know it’s lumpy from quarter-to-quarter and I know there’s tenders [ph] and so forth coming along but how should I think about the margin in that business going forward?
Kevin Longe: I think it’s fundamentally a stronger business today than it was a year ago before that’s ever [ph] banging for us. The emphasis in the company this year as we’ve stated in previous calls was to get better before we get bigger and really the focus has been on operations and as well as new product introduction which we think is important for maintaining a pricing power in the market place. And part of what gave us a lift to the margins this last quarter were the new products that we introduced. So we’re excited about this.
Rick Santa: Yes. So I think we’ve talked to most of you about – and the objective [ph] of trying to get the gross margin performance for DYNAenergetics up to the height 30%, 40% level from the 33% and 34% levels that we’ve operated at for the last two to three years and I think we’re there. The product mix, customer mix in the operation performance remains where it is.
Edward Marshall – Sidoti & Company: If I look at the $4 million reduction in inventory, was that also – $3.5 million, $4 million, was that also coming out of the drill out from DYNAenergetics and I think that was part of the plan ultimately.
Kevin Longe: Yes. The fluctuation throughout the quarters but DYNAenergetics is down significantly since the beginning of the year. We’re hoping to collate the $9 million total in inventory out of DYNAenergetics. I think we’re somewhere in the neighborhood of seven, not counting the inventory adjustment.
Edward Marshall – Sidoti & Company: Okay. And then – and then finally I missed what you said for – was it SG&A for the quarter, and I apologize that I need to repeat that.
Rick Santa: $9.5 million to $9.8 million.
Edward Marshall – Sidoti & Company: And that includes or doesn’t include?
Rick Santa: That does not include the amortization of $1.6 million.
Edward Marshall – Sidoti & Company: Okay. Thank you.
Operator: Thank you. Our next question is coming from the line of Avinash Kant with D.A. Davidson. Please, proceed with your question.
Avinash Kant – D.A. Davidson: Good afternoon, Kevin and Rick.
Kevin Longe: Hi, Avinash, how are you doing?
Avinash Kant – D.A. Davidson: Very good. Thank you. A few question, first trying to get my hands around the oilfield business a little bit, I know you have the Texas facility that now and you expect to do more in terms of production facility next year. So I’m just trying to figure out the growth rate and what could we expect, year-over-year kind of? Just from the oilfield alone, what growth rate, either longer term or three to five, what growth rate are you targeting?
Kevin Longe: Well, I believe that market, our current estimate is that it’s a 68% market growth business. And we expect to be slightly better than that given our geographical footprint which includes the shaped charge facility of plants in Germany, the one here in Texas now and Siberia which will be – that facility is actually starting up as we speak making guns and gun systems. And we’ll be manufacturing shaped charges there in the second quarter of next year.
Avinash Kant – D.A. Davidson: So just we can make our assumptions in terms of utilization and everything else, but what I was trying to get at is that if you were to look at the three facilities that you planned to do, if they were to run at full capacity, three shifts, what kind of revenue opportunity do you see? And of course you have to make some assumptions and pricing. But assume [ph] the current pricing if it is where it is, what kind of revenue opportunity could we think about from the three different facilities that you have already done working on or you will be working on?
Rick Santa: Certainly we have the production capacity to enjoy 30% increase if the sales demand is there. We don’t think we’re going to achieve that growth. But if you look at the third quarter, we’re at 21.5% increase from the previous year, third quarter, and year-to-date 10%. So I mean, I think our opportunity is probably closer to that higher number than the lower of those two numbers assuming the market growth is what it is and we continue our geographic expansion initiatives.
Avinash Kant – D.A. Davidson: Right. And of course – but this is only with the two, right? And when the Siberia facility comes along, how much capacity – compared to Texas, what will be the capacity there?
Kevin Longe: It will be similar actually, slightly greater than our Texas facility. So it will be our second larger shaped charge facility when it’s complete.
Avinash Kant – D.A. Davidson: Okay. And then coming back a little bit to the explosion metal working segment, clearly though backlog there has not grown for some time, it’s simply steady though, but it has not grown. And we’ve been hearing off a lot of activity and all the natural gas market and the chemical’s market. So what’s stopping the backlog from growing and what’s been the return for you to get orders there?
Kevin Longe: We’re not losing business that we’re aware of. The deterrence has been our customers not placing the orders. And we have significantly strengthened that business also at somewhat getting in the numbers. But that business has strengthened its sales and marketing presence globally. We have, today, five people dedicated to China which a year ago, we did not have. And that’s being absorbed in the operating margins of that business. We are feeling very good about the productivity that we’re seeing out of our Mount Braddock facility. In the strength that we put in the sales force globally, we’re just – the projects aren’t breaking at the rate that we’re ready to take them on. And we’re waiting for that to – not waiting for that to happen, we’re right there for when it does happen. And that’s where we’re very busy working on a number of projects, but they just haven’t turned the orders yet.
Avinash Kant – D.A. Davidson: What would be the expectation for return in backlog there?
Kevin Longe: We expect our – and we’re going to start talking about book-to-bill ratios that we expect those to go positive next year for that business.
Avinash Kant – D.A. Davidson: Perfect. Thanks so much, Kevin. Thanks, Rick.
Kevin Longe: Yes.
Rick Santa: Thanks, Avinash.
Operator: Thank you. Our next question is coming from the line of Dan Whalen with Topeka Capital. Please proceed with your question.
Dan Whalen –Topeka Capital Markets: Hi, how is it going, guys?
Rick Santa: Oh, good. How are you doing, Dan?
Dan Whalen –Topeka Capital Markets: Good. Just on the AMK technical services, that long-term ground power project winding down. What is that wind down going to be finished?
Rick Santa: It’s pretty much finished.
Dan Whalen –Topeka Capital Markets: Okay.
Rick Santa: That’s why – there’s still be some repair work on those systems over the next few years because of several systems, in the CEOs in California, in Japan. But [indiscernible] moved away from that platform, they’ve built some spare parts and AMK helped them built those spare parts. So we don’t expect to see much activity in the next couple of years. So it’s pretty much wound down.
Dan Whalen –Topeka Capital Markets: Okay, okay. So we’ve got more of a solid foundation to build back up from here then.
Rick Santa: These are great times to focus [ph].
Dan Whalen –Topeka Capital Markets: Great. And then just lastly, in terms of the, you mentioned several different large order opportunities that have emerged in the chemical and upstream, apologies if you already addressed this. I get on a little late here, but is this – and I know there can be a long lead times here, but is this probably, if it come to a fruition here of first half 2014 event or probably too late for the fourth quarter, correct?
Kevin Longe: Yes, it’s definitely too late for the fourth quarter. So the projects that we’re currently pursuing are all things that would impact us in 2014 and beyond.
Dan Whalen –Topeka Capital Markets: Okay. And then just one last one, it seems like you guys are really tightening the bolts and getting a lot closer to where you want to be operationally which I guess brings you to the next level in terms of looking at potential acquisition growth. Is that still out there? Do you have more to do in terms of your legacy businesses or how are we thinking from a timeline perspective?
Kevin Longe: Yes. I think the – your first and foremost focus or priority is to drive our growth through internal growth and development. And one of the things that we’re doing is we’re putting our plans together for the coming year is we’re pulling back on some of our G&A spending investing those dollars in research and development, product management and market development. And that goes across all three of our businesses.
Dan Whalen –Topeka Capital Markets: Okay.
Kevin Longe: And so, I think, we – the organization has done a good job of tightening up this year. We’re going to be moving to expand with things that are close to us. We’ve done a good job getting our bank debt down so far year-to-date with the increased cash flow. And I think it was at $38 million, $39 million at the beginning of the year. It’s now down around $15 million. We expect to be out of the banks –
Rick Santa: $15 million net of cash balances.
Kevin Longe: Yes, net of cash balances. We expect to be out of the banks this time next year and build on cash. And we are looking for the right opportunity which really is adding products and products and services to our portfolio that strengthens our presence in the markets that we’re currently operating in. And those things are so unpredictable in the many variables in them. But we’re looking at it. We strengthened our corporate development group here at the corporate office, but our primary focus going forward is on internal growth and development.
Dan Whalen –Topeka Capital Markets: Okay, great. Thanks a lot for your time [ph].
Kevin Longe: Yes.
Operator: Thank you. (Operator Instructions) Our next question is coming from the line of Gerry Sweeney with Boenning. Please proceed with your question.
Gerry Sweeney – Boenning & Scattergood: Good afternoon, guys.
Rick Santa: Hey, Gerry.
Kevin Longe: Hey, Gerry, how are you?
Gerry Sweeney – Boenning & Scattergood: Soft ball question out of the gate, what was the gross margin on the AMK side? I missed it when you read it out earlier.
Kevin Longe: For the quarter it was 23.1%.
Gerry Sweeney – Boenning & Scattergood: Got it. Now it’s versus 26.5% correct?
Kevin Longe: Yes.
Gerry Sweeney – Boenning & Scattergood: Got it, okay. Take you a little bit longer lead, Kevin, you’ve mentioned that having some personal event in China, Southeast Asia, how is that process coming? When can, if you were to look out and see how it’s developing now, when can you expect to maybe start seeing quotes? Are we seeing quotes? How is this going to develop over the next, we’ll say, from three to six quarters if not longer [ph] maybe.
Kevin Longe: Well, we’ve seen quotes. In fact we’ve been moderately successful in the past in Asia both – not just China but Korea and throughout the region. One of the things that we’re doing is we’re – last year, the company put a sales office in Korea where we have three people from that country or working with the customers in that country. And the same thing in China to serve these markets and we really need to be local, and so where our re-quoting and working activities there and becoming more intimate with the customers that we have been doing business with but also expanding our customer base. We’re taking the approach that the harder thing to put into any developing part of the world is commercial, sales and business infrastructure. It’s easy to follow with the manufacturing if it’s got the revenue.
Gerry Sweeney – Boenning & Scattergood: Yes.
Kevin Longe: And so that’s the approach that we’re taking. And really that area today, I can say it is becoming a part of our everyday balling [ph] business. We expect to see our share increase because of that, probably in that three to six quarter timeframe, but we’re there quoting today.
Gerry Sweeney – Boenning & Scattergood: Okay. If I were seeing – when you talk about increased quoting activity, I mean is that part of that coming – I assume some of that is coming from Southeast Asia. Is it more – and the second part, we got the – is it Southeast Asia more active than the U.S.? I’m just trying to get a feel for how this is – all that investment bearing fruit?
Kevin Longe: I’m looking at our hop [ph] list right now and its spread all over the place. I’d say a good 30% to 40% of it is U.S. and the balance is outside of the U.S. And it’s from all over Southeast Asia and India and the Middle East. It’s really – yes, we’re seeing, I’d say, just a general increase in projects, so we’re – I think that’s where our optimism is coming from.
Gerry Sweeney – Boenning & Scattergood: Okay, got it. And then question on oilfield services, now that Blum is up and running, I think in the last quarter you talked about, you opened up a distribution center, another one in Texas. Somebody have one in Columbia, South America.
Kevin Longe: Yes.
Gerry Sweeney – Boenning & Scattergood: Any thoughts on how that’s going to develop? Is that part of that 6% to eight percent plus growth?
Kevin Longe: Very much so. I think that in addition to putting in the distribution center in Columbia, the Blum facility in Texas, if you look at that business over the last couple of years, we acquired a gun manufacturing business also in Texas. We acquired our distributor in Austen explosives down in Texas.
Gerry Sweeney – Boenning & Scattergood: Yes.
Kevin Longe: We also acquired a gun manufacturing business up in Canada. And so, DMC has really built out a North America and a global infrastructure in this oil and gas space. Heavy emphasis this year in addition to this facility is we put in a topnotch management team with very smart and aggressive president in Germany and similarly very smart, aggressive and good business people here in North America. And we’ve got a new general manager here that came from GE Oil & Gas and he has done a very good job building his team which includes sales marketing, distribution, and logistics as well as a very strong financial department or group of people. And so I just want to highlight that the investments go beyond the brick and mortar. At the end of the day, it’s the people that are going to make the difference. And we put a lot of energy into strengthening the team not only for that business, but also in the NobelClad and AMK businesses as well.
Gerry Sweeney – Boenning & Scattergood: Okay, got it. That’s very helpful. I appreciate it. That’s it for my –
Kevin Longe: Thanks, Gerry.
Operator: Thank you. It appears there are no further questions at this time. I would now like to turn the floor back over to Mr. Longe for any concluding comments.
Kevin Longe: I appreciate everybody joining us today. You’re an important part of why we’re here and we appreciate your interest and support. And we look forward to speaking with you as we finish the fourth quarter and go into what we hope will be a very exciting 2014 for us. So thank you everybody for joining.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time and thank you for your participation.